Jake Klein: Thanks, Shaun, and good morning, everyone. Thanks for joining us. We know it's a busy time. I'm going to make some brief introductory comments and then hand over to our CFO and Finance Director, Lawrie Conway, who will provide a thorough overview of today's results. During the call, we'll be referencing the presentation released to the ASX this morning titled 2019 Full Year Financial Results. For those wanting more details, and there's lots of it, please refer to the appendix 4E and annual financial report also released this morning. Turning to Slide 3 of the presentation. For those of you who have been following us for some time, you'll recognize that the FY '19 results continue to demonstrate the consistent delivery of our vision and strategy. That have not changed since the company was formed in 2011, that is, to become a globally relevant mid-tier gold company that can prosper through the cycle. We believe this is where the best returns are delivered to shareholders. We have also consistently said that we will return money to shareholders. The exceptional free cash flow generation delivered in FY '19 after investing in capital projects and exploration to grow our business and enabled us to further increase our dividend by 50% to a fully franked dividend of $0.06 per share, totaling AUD108 million. This is our 13th consecutive dividend and also our highest pay and applies our new policy, which we announced today, where we will target a payout of 50% of free cash flow going forward. You will know that the current spot price is almost $500 an ounce, higher than what we achieved in FY '19, which, if this is sustained, clearly has the potential for materially higher cash generation in the future. Rest assured though we continue to be very focused on maintaining our low-cost base, sustaining and improving our higher margins and banking every additional dollar to ensure that our shareholders benefit from this exceptional Australian dollar gold price environment by returning excess cash in the form of dividends. In many ways, profits and dividends that you see today are the outcome of what we do. And the next two slides in the presentation deck deal with how we do this. So turning to Slide 4, which details our sustainability principles. No amount of financial success is worth anything if we cannot keep our people safe and demonstrate that we have a sustainable business. At Evolution, we are committed to deliver long-term stakeholder value through safe, low-cost gold production in an environmentally and socially responsible manner. In FY '19, we published an overall sustainability report to improve our transparency in this area, and we will continue to work hard to deliver on this commitment we have made to our stakeholders. Turning to Slide 5. I want to focus on safety. We do acknowledge the decline in our group safety performance, and all sites have refocused their efforts on embedding behavioral safety initiatives to drive improvement. There have tragically been six deaths in the mining industry in Queensland over the last 12 months. We fully endorse the initiatives and actions the Queensland government and the mining industry are taking to elevate and reset safety in Queensland and across Australia. Last month, at Evolution, we conducted a safety stop across our entire company. Before handing over to Lawrie, I want to make one final comment. Our ability to deliver these results come from our people and our unique culture we have at Evolution. One in which we strive to ensure that every one of our employees feels respected, recognized and empowered to do their job well. I want to thank each and every one of our employees and contractors who contributed to another successful year, and I look forward to an even better one over the coming 12 months. With that, I'll hand over to Lawrie.
Lawrie Conway: Thank you, Jake, and good morning, everyone. It's a pleasure to be able to present the financial results for 2019. I'm probably not as happy as you are, Jake, since you're celebrating your birthday today, which as you shared with some celebrities such as Joe Jonas and Ben Affleck or more of last year's companies such as Melinda Gates and Napoleon. On behalf of Evolution, have a happy birthday. The highlights on Slide 6 show the key financial metrics for the 2019 financial year. I will touch on a couple of these items before going into more detail as we move through the presentation. Our profit before tax was just under $315 million, which was down 7% on FY '18, with the main drivers being lower by-product metal revenue, higher operating costs, partially offset by higher gold revenue. The underlying profit after tax of $218 million was 13% lower than FY '18, and this was impacted by having a deferred tax asset benefit, which reduced our tax expense in FY '18. Having said that, the cash profit or EBITDA was a very healthy $730 million, and our EBITDA margin was 48%. Cash flow on all levels was very strong with a group cash flow of approximately $292 million. The real highlight though, as mentioned by Jake, is that we have updated our dividend policy to a percentage of cash flow. This has resulted in a 50% increase in our final dividend to $0.06 per share fully franked and delivers on our commitment to return excess cash to shareholders. Turning to Slide 7, which shows the movement in the underlying profit. While our profit was lower than last year, the fundamentals of the business remains strong, and as we will see in the next few slides, the cash generation and returns from the assets more than offset the lower accounting profit. The main causes to the change in profit include lower copper and silver prices and volumes reduced profit by $25 million, but this was fully offset by higher gold revenue of $32 million. Operating costs increased $43 million, with the majority of this being the impact of completing the White Foil cutback in FY '18, such that approximately $28 million of mining costs flowed through the operating expense as opposed to being capitalized. This did not negatively impact on our cash flow. The balance of the operating cost difference was due to input costs and activities, which I will cover on the next slide. Utilization of ore stockpiles at Mt Rawdon during the year resulted in a $29 million year-on-year delta, which was partially offset by increases in inventory at other sites. The net impact was a noncash inventory charge of nearly $22 million. A benefit of the increase of our reserves from our 2018 resource and reserve statement is that we are now depreciating our asset base over a greater number of ounces, which improved our profit by $34 million. On Slide 8, we have our cost drivers. As we have said to the market previously, we saw the bottom of the cost cycle about 12 to 18 months ago, and we continue to drive productivity and efficiencies across the business to mitigate these cost pressures. Additionally, we've been able to realize cost reductions during the year from contract negotiations for a very good work from our supply teams, with savings ranging from 3% to 10%. Our top seven cost categories comprise around 80% of our cost base, and this is the area which receives the most attention. Specifically, we saw our labor cost increase by approximately 3%, and we expect them to move up by between 3.5% and 4.5% during the current financial year. Our remuneration strategy remains focused on rewarding our employees via variable at-risk components. Our power costs were up $7.5 million in the year. However, the majority of this was at Cowal as their new contract took effect from January 2018, and therefore, the new prices were borne for a full year in FY '19 as opposed to a half year in FY '18. We expect no material movement in power prices as we have fixed prices through until January 2021. The chart on the bottom right shows the cash flow sensitivities with metal prices, grade and recovery, having the biggest impacts. Moving to Slide 9. Our group EBITDA margin for the year was 48%, which is below the 53% we achieved last year. The drivers to this reduction are the operating revenue and cost items explained earlier. This is still a very healthy margin, and we have averaged 50% over the last 3 years. The critical thing for us as a business is to capture the benefits available from the current higher spot gold prices. This remains a priority. Site by site, good margins are being delivered. Importantly, our longest life assets are generating the biggest margins while we have a good contribution mix and 60% of our EBITDA comes from assets with eight plus years of mine life. Turning to Slide 10, and to me, one of the more important slides, cash flow. We have a suite of assets which consistently generate strong cash flow. In FY '19, we generated over $770 million of operating cash flow. And after investing $274 million, we delivered around $500 million of net mine cash flow. All sites were cash positive for the year. This strong cash flow is not being generated at elevated gold prices. It is being generated for a sustained period. Over the last five years of assets acquired during that period, a total of over $3 billion of operating cash flow and $2 billion of net mine cash flow has been generated. Again, all sites were cash flow positive for every year in that period. This cash flow has generated an average achieved gold price of $1,640 per ounce, with an annual achieved price ranging from $1,490 per ounce to $7,860 per ounce. With the gold price being materially above these achieved prices, there is considerable upside to the cash generation capacity of the business. A key to the business is the requirement for the assets to repay invested capital and acquisition costs. We now have two sites fully repaid while others are well on their way. A demonstration of our strategy is the rapid payback we are seeing from Cowal and Ernest Henry. Moving to Slide 11. As was highlighted on the previous slide, our mines are consistently generating strong cash flow and self-funding their capital requirements. Delivering high rates of returns has been the critical component to our business. This chart shows the returns that each of the assets have generated under our ownership. Average returns ranged between 12% to 23%. And in FY '19, the range achieved was 10% to 27%. A real standout is how we've been able to turn Cowal into a cornerstone Tier 1 asset over the last few years. Looking at Slide 12 and our investment in discovery. We have established a team and increased investment to build up the production pipeline so as to extend mine life and grow production rates. We increased our discovery spend by 65% in FY '19 to $52 million and plan to spend $80 million to $105 million in FY '20, including $20 million to $25 million on the underground Dalwhinnie in Cowal. The benefits of this program are coming through in that we have extended our reserve life to around 10 years and increased our reserves per share by 42% in the last five years. On to Slide 13 and dividends. This is the most pleasing outcome for the business for the year. We've repaid $910 million of debt over the last five years, which funded our business growth and move to a net cash position during the year. We committed to shareholders that we would not build up large amounts of excess cash on the balance sheet. At the end of the financial year, we reviewed our financial position and outlook based on our latest life of mine plant. This showed us that our net cash position will continue to grow as all assets are paying their way. Therefore, we changed our policy to be based on group cash flow before servicing debt and any M&A activities. We are targeting a 50% payout rate but remain flexible depending on the business needs. The overriding commitment though remains to return excess funds to our shareholders. We've applied this new policy to our final dividend for FY '19 with a $0.06 fully franked dividend declared. This is a 50% increase over our FY '18 final dividend and equates to a payout rate of around 55% of cash flow. The final dividend brings the total amount returned to shareholders to $160 million for the year and $459 million over our last 13 consecutive dividends. Turning to Slide 14. In conclusion, we have a business, which has generated significant levels of cash at prices well below the current spot price and ultimately will deliver superior financial returns to our shareholders. This is from having a clear and consistent strategy and the right financial discipline to support this strategy. This is being delivered via a healthy production mix from a portfolio of assets, which are: global-leading, low-cost and high margin assets; converting this high-margin into strong cash flows at a mine and group level; managing the balance sheet to have adequate cash and liquidity; creating value through total shareholder returns with more than 550% increase over the last 5 years and delivering on our commitment to return excess cash to shareholders with the new dividend policy. Finally, before turning over to questions, I'd reiterate what Jake mentioned earlier by expressing my thanks to the finance team for the work that they have done to complete the financial statements and release the results we have today. Thank you for your time, and Shaun, please open the line for questions.
Operator: [Operator instructions] Your first question comes from the line of Michael Slifirski from [Technical Difficulty].
Michael Slifirski: Three quick ones from me, if I may, please. First of all, with respect to sort of exploration and the allocation across the sites, Rawdon has been very little. I guess that reflects the lack of obvious opportunity. We sort of talked before about gold price sensitivity and other cutback at Rawdon, but do you have sufficient delineation of what's beneath the current life of mine pit if there was a decision to use a higher gold price to perhaps consider an extension there?
Lawrie Conway: Thanks, Michael. The answer there is yes. What we've committed to at the moment is over the next six months, the team at Rawdon are looking at what would be a price required to potentially bring in a stage five at the pit. So as they work through that, we'll then have a look at it. And if the prices that we're currently seeing in the market support that, then obviously we look at whether we lock away some hedging to bring that through into production.
Michael Slifirski: Secondly, with respect to -- I understand where I think in the past, you've talked about a commitment, I think, it was December quarter to start exploration from your JV partner. Nothing in the budget for exploration. Is that captured within the corporate line? Or could that be an increment to what you're forecasting for exploration in? So what sort of quantum?
Jake Klein: Yes. Michael, with regards to that, it's being picked up in the res def's guidance for Ernest Henry, which we've got our share to be $2 million to $3 million this year. We had the joint venture meeting 10 days ago, which confirmed that the program is still on track to be completed in the last quarter of this calendar year.
Michael Slifirski: The cost pressure you talked about, like the -- is that sort of equal across three-- all sites? Or is there any sort of geographic dispersal between where there might be more cost pressure and less cost pressure?
Jake Klein: Certainly, what we're seeing in terms of cost pressure, different across the sites. The labor is the one that you would see the most difference in that residential versus fly in fly out sites. And also, where you sit with mine life -- so I mean at the moment, Mungari has probably had the highest turnover in the last 12 months versus, say, Cowal as we've been expanding and increasing mine life. We've been able to attract them and have less of a turnover there. And then you look at, say, Cracow that fly in fly out from Brisbane and the Sunshine Coast, it's a little bit more stable. So that's probably the one that has the differing across each of the sites versus other costs such as power and consumables and the like. It really depends on how much they're using and where we're able to source those from. And as I said, so the power of all those sites, except for Mt Carlton, which is on the gazetted rate have their prices fixed until the end of next calendar year.
Michael Slifirski: Taking one last one, and that's with respect to the confirmation of KCGM is for sale again.  for sale again. Are there any attributes of that opportunity that would fit attributes you'd be looking for?
Jake Klein: Michael, I'm reluctant to comment on specific opportunities, other than to keep saying what we have been saying for some time. We'll look at anything and any assets and any opportunities that improve the quality of our portfolio and make our business stronger and is accretive to our shareholders. That's, I suppose, what I'd say in regard to that, any opportunities that arise. We have a team of business developments stewards and leaders who are match fit and looking at lots of things, but we are going to be absolutely patient to look for the right thing. I'd say, it's similar and similarly consistent with what Lawrie spoke about Rawdon, and we will look at any opportunities that provide growth and strengthening the business and is accretive to shareholders provided that meets the returns that we need and we believe is appropriate. Otherwise, as we've always said, we're better off getting it back to shareholders.
Operator: Your next question comes from the line of Daniel Morgan from UBS.
Daniel Morgan: So obviously, the dividend policy has changed. That's big news today that's been released. Just wondering how that works in a couple of years' time if you are looking at making acquisitions if and when they become available. But it might be a difficult opportunity to make accretive acquisitions with gold prices high, asset value's high. Just wondering what it would look like in a little while if you weren't able to make an accretive acquisition and cash has built on the balance sheet. How would you think about returning that to shareholders?
Jake Klein: Yes. Thanks, Dan. The policy that we've put in place looks at our free cash flow and the outlook for cash requirements. I mean in that scenario, in a couple of years' time, if something hasn't come up, and we haven't acquired it, I mean we stay committed to returning excess cash to our shareholders. If something does come up as we've demonstrated in the past, we'll use a mix of finding ways for those acquisitions being debt, equity and then existing cash, which then, may or may not impact on the dividend. But I think what we've demonstrated with 13 consecutive dividends even through a period of a lot of acquisitions, we'd be able to stay true to that.
Daniel Morgan: Sure. A follow-up question on the cost that you're just talking about with labor being one of the pressures. And you mentioned that you have focused on the variable component. I'm just curious if you can elaborate how are the employees of Evolution remunerate on variable? Like what targets? Is it KPIs? If you could just expand on what drives that variable component and how that leads to performance.
Lawrie Conway: Yes. So we have, across the entire organization a remuneration structure, which consists of a total fixed component and then a variable component depending on the level of the organization. So at the entry level, we've got what we have is a quarterly performance, bonus scheme, which is paid, obviously, on the performance each quarter, and it is specific to the actual asset. And there's a range of safety, production costs and other measures that must be met for those to be achieved and to be paid. And so therefore, it's linking to the focus of those people to their outputs, which is in the quarterly section. And then from supervisors through to, obviously, Jake, it's under a short-term incentive scheme, which is this cash gain as a percentage of their fixed remuneration, which is reviewed and approved by the Board on an annual basis. And then the third component is a long-term incentive scheme, which are performance rights. Again, last year, we actually took it down one more level in the organization to supervisor and technical experts right through to Jake, where a percentage of your fixed remuneration are entitled to performance rights that would then be tested over a three year period and then vested based on shareholder returns, growth in profit and growth in reserves per share.
Jake Klein: And Daniel, just to add to that, I just want to reiterate that it's a variable component we feel is working to the point that the group component this year in FY '19 was, in fact, lower than FY '18, and that's partly related to the safety performance. So we had specific targets and partly related to financial performance.
Operator: Your next question comes from the line of Brad Ranford from [indiscernible].
Reg Spencer: I think you meant from Reg Spencer from Canaccord. Just a quick question from me on your hedging policy. I know you've commented on this in the past, Jake, but at what gold price might Evolution be tended to lock in a higher volume of hedging or higher amount of hedging?
Jake Klein: We've, in the past, only used hedging really to protect capital programs that need a certain gold price and Lawrie alluded to a potential at Rawdon for, as an example, to meet our hurdles for return. We've got between 13% and 15% of our production hedged for the next three years, four years, and we're not intending to put in place any additional hedging other than with respect to specific capital programs that may -- maybe considered in the future. But at this point in time, we are not intending to lock in any more hedging.
Operator: Your next question comes from the line of Sophie Spartalis from Lynch.
Sophie Spartalis: Just a quick follow-up in terms of the M&A piece. You talk about Evolution going to be a mid-cap global company. Can you just maybe refresh us in your thinking in regards to the environment over in North America at the moment? In terms of value, you said that the M&A team internally is match fit ready. So obviously, they've been over there looking at some things.
Jake Klein: Thanks, Sophie. Yes, we have looked at a number of things. Globally relevant mid-tier is the space which we think has delivered the best returns to shareholders. We think we're in that space. We don't think we're as good as we can be. We have a number of initiatives, which relate to internal growth. We've just had 3 days of board meetings and committee meetings that related, where we discussed some of the things that are happening with respect to exploration, the earlier-stage opportunities, which we're looking at, the innovation and transformation things that we're looking at, which range right across the business from all sorting, to better usage and improvements of higher usage and that type of thing. So we see a lot of opportunity internally. And I think that, that organic growth shouldn't be underestimated. Cowal, clearly, from an exploration perspective is proving to be a world-class asset. Looking at corporate opportunities. The market at the moment seems hard to find things that would meet our criteria on the accretion side. That's not to say that they're not available. But I think in this sector, patience is rewarded. You really don't want to be overpaying and confronting an impairment in a couple of years if we, in this environment where the gold price keeps going up. So we're going to remain disciplined. We're going to remain focused. We've consistently said if we can't find ways to spend our shareholders' money on their behalf, we'll give it back to them. And this dividend and the dividend policy going forward is a reflection of that.
Sophie Spartalis: And I guess, we all always focus on acquisitions. What about divestments? Obviously, you've got sort of short life, relatively high cost assets in the portfolio. Divestments can also increase the quality of the portfolio. Do you see that this is the right time to potentially look at that avenue?
Jake Klein: Yes, that's a good question. I mean, we've shown our willingness to do that in the past. We've divested both Edna May and Pajingo. We currently have 6 assets, 5 of them operations and their economic interest. We continually look at our portfolio. But at this point in time, we have no intention to divest of any of our assets.
Sophie Spartalis: And then just a quick follow-up, if I can. Just in terms of you talked around the innovation and potential transformation of looking internally, I guess, the industry could've classified that as physical innovation. Can you just maybe give a sense of what degree or what potential savings you can get by looking at these initiatives? And over what time frame you think you could realize them? And are we talking sort of 10% over the next two to three years? Is that the kind of quantum that we should be thinking about?
Jake Klein: It's difficult to quantify them. But I think they will be quite disruptive to the sector, and I know a lot of companies are working on it. But Bob and his team have really been focused on it over the past couple of years. Things like ore sorting do have the potential to be quite disruptive and transformational. Glycine usage could reduce cyanide consumption quite materially. Now these things are in the test phase. They've been tested in labs. They've been tested on our ore, and there are positive signs. So there are opportunities. And we're using data much more efficiently to track the usage on the site visit to Mungari last week when we took analysts and investors down. Our mill manager there was passionately talking about opportunities to reduce crusher liner usage and extend the time between shutdowns and increase throughput between -- up to 20%. So it's not done yet, but there are plenty of plans in place and people working hard at delivering those types of efficiencies.
Sophie Spartalis: So in terms of FY '20, it seems as though the cost pressures are likely to offset or basically will be more -- you might be able to offset it with those initiatives in the very near term. It's more of a sort of two to three year outlook?
Jake Klein: Well, our guidance is for AUD 890 to AUD 940 an ounce and our costs in the last year were AUD 924. So we think we will be able to largely offset those cost pressures.
Operator: Your next question comes from the line of Nick Evans from Australia.
Nick Evans: Just want to -- just talk through the -- a little bit more color on sort of the early-stage exploration and greenfield. Evolution has never made a particularly sort of big deal out of greenfield exploration. But I noticed from the results you signed up an earning joint JV with Andromeda back in September. And then in April, with Enterprise Metals in Murchison. Just talk to us the strategy in terms of greenfield discovery and those joint ventures that you've signed? And whether you're looking a bit more of that with others]going forward?
Jake Klein: This has been a strategy that when Glen Masterman joined our VP Discovery, he put in place three years ago. The first step was really building a team, defining a strategy and then starting to look at opportunities. You can see that reflected in the increase in activity. It is clearly an area of opportunity. Whilst producers are well funded, and there seems to be little stress on their balance sheets, earlier stage explores and development opportunities are -- have more difficult access to capital, and that's an area of opportunity where we can bring both technical expertise and capital and take projects forward. So we have signed three joint ventures in the last 12 months. And there are a number in the pipeline, but it's an opportunity for us.
Nick Evans: And you've now had sort of eight months of being a shareholder in Tribune, have you sort of banked your thinking on where that investment fits in the long term? Or whether you're happy to be a passive shareholder in that or whether they're -- whether you sort of use that as an opportunity to sort of extend your presence in the region?
Jake Klein: I think, Nick, even though I can't comment on that specifically other than to say what I've always said, it was an opportunity that arose to take a 19.9% interest in some of the highest grade reserves in the area.
Operator: Your next question comes from the line of Stuart McKinnon from The West Australian.
Stuart McKinnon: I just wanted to ask about your thoughts, and I know this alludes to the KCGM situation. But do you have any thoughts in terms of your M&A? That stake is obviously up for sale. Barrick is a non-operating stake. Do you have any thoughts around -- is that something that you wouldn't look at? Or would deter you -- it would be a negative in terms of acquiring the fact that it's a nonoperating stake? You don't have control of the asset. Is that an issue in terms of the M&A when you look at various assets?
Jake Klein: Stuart, I only said that one of our best-performing assets is the economic interest in Ernest Henry, which delivered $222 million of cash to us in the last 12 months and Glencore operated exceptionally well. So it is a factor, but it's not a factor that would rule an opportunity out.
Operator: There are no further questions at this time. I will now hand back to the speakers for any closing remarks.
Jake Klein: Thanks very much for joining us. I'm very happy to be delivering higher dividends and a good set of financial results and an outlook, which with the gold price, some $500 higher than it was last year, a real opportunity for us to continue this. But on the basis that we're going to be disciplined, we're going to be focused, and we're going to be returning excess cash to shareholders. Thanks very much.
Operator: That does conclude the conference for today. Thank you for your participation. You may all disconnect.